Operator: Good day, ladies and gentlemen, and welcome to the Grupo Aeroportuario Del Sureste Fourth Quarter 2008 Earnings Conference Call. My name is [Merisel] and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating question-and-answer session towards the end of the conference. I would now like to turn the presentation over to your host for today's conference, Mr. Adolfo Castro, Chief Financial Officer. Please proceed, sir.
Adolfo Castro: Thank you, [Merisel]. Good morning everybody. Thank you for joining us today to the conference call covering our fourth quarter results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including risks that may be beyond our company's control. For an explanation of these risks, please refer to ASUR's filings with the Securities and Exchange Commission and Mexican Stock Exchange. This has been a very good quarter, particularly in light of the current difficult global economic environment. As I have mentioned in the previous conference call, this is clearly a result of the underlying strengths of our business model and the macroeconomic factors that impact our operations. We have a very strong balance sheet, in fact we closed the quarter with 1,733 million pesos in cash and short-term investments. Majority remains in short-term investments in pesos, as well in peso denominated Mexican sovereign notes and corporate bonds issued by Santander and Banamex. There are also two micro variables that have a very important effect on our industry. The recent decline in the oil price should alleviate the airlines while the depreciation of the dollar/peso exchange rate should make our destinations today more attractive for international on tourism. In fact, results for the quarter demonstrate continuous strengths as an international tourist destination. However, I don't want to be overly positive for the future. We do believe that 2009 will be a tough year and continues to be difficult to make predictions at this time. We remain on-track with the construction of the second runway at Cancún Airport, which we expect to open during the fourth quarter 2009. In terms of our mass development plan for the next five years, we have submitted our plans to the [SET] and are waiting approval from them as previously announced. On December 24, the Mexican Government notified us that they will take additional 90 days to approve the maximum tariffs and mass development programs, where each one of the nine concessions we have. We will inform you once this is approved. Now let me go briefly on the financials. Results for the quarter were quite good take any consideration the challenging global economic environment. We remain focused on maintaining our routes, increasing flight frequencies or increasing the number of seats offered for a specific route. However, we are seeing a reduction in flight frequencies and the number of transactions. But keep in mind that the airlines little factor has increased during the year resulting in a net increase in passenger traffic. As expected, passenger traffic continues to slowdown up 1.71% this quarter compared to the strong numbers recorded at the beginning of last year. Total passenger traffic growth in 2007 was more than 17%. As I have mentioned many times already, I don’t believe in double-digit passenger traffic growth in medium and long-term as such. These build rates were not sustainable. In fact, I believe we are returning to normal growth levels particularly in today’s uncertainty economic environment worldwide. Total passenger traffic rose 1.05% in October, 3.07% in November and 1% in December. International traffic in turn was up 9.83% this quarter more than offsetting the 6.69% in domestic passenger traffic. In fact, international passenger traffic accounted for 54.4% of the total traffic for the quarter from the 50.5% during the fourth quarter 2007. Domestic passenger traffic faced the impact of the loss of some airlines and reduction in flight frequencies and some routes which more than offset the decline in fuel costs towards the end of the year. Total passenger traffic growth at Cancún Airport remains strong up by 6.2% for the quarter and 11.52% for the year, again Cancún’s strength as a tourist destination. We believe that Cancún passenger traffic growth at ASUR was basically driven by the strong depreciation of the peso relation with the dollar, [partnership] promotion packages offered by hotels to maintain occupancy and the proximity to the United States. Our other eight airports only Huatulco, Oaxaca, and Tapachula showed increase in passenger traffic. Passenger traffic between Mexico, Canada and the United States represents a 89.4% of total traffic compared with 89.78 [at December 2007]. Total revenues rose by 14.2% this quarter, driven by the 13.97% increase in aeronautical revenues and 14.63% growth in non-aeronautical revenues. Commercial revenue growth was also quite strong by 16.53% year-on-year to 57.86 pesos per passenger from 49.73% in a year ago quarter and 48.64% in third quarter of 2008.  Operating costs and expenses rose 11.74% year-over-year as expected. Again we are seeing the impact of higher costs related to the operation of Terminal 3 in Cancún as well as increase in administrative expenses resulting from the corporate organization implemented in the second quarter of the year. Costs were also impacted by the very strong increase in energy cost. However, this January, the Mexican Federal Government decreased energy prices on average by 17%. As a result of all of these; operating profit for the quarter rose 18.66% to 279.7 million pesos, while EBITDA margin remained unchanged at 57%. In terms of the CapEx, during the quarter we made investments for 361.25 million pesos, in mainly on the second runway of Cancún Airport. For the year, we invested a total of $796 million pesos. Now, let me open the floor for questions. Please [Merisel], go ahead.
Operator: (Operator Instructions). And our first question comes from the line of Alan Solis from Credit Suisse. Please proceed.
Alan Solis - Credit Suisse:  Hi, good morning, Adolfo. I wanted to ask if you could in terms of cost of services, and revenue, how much is variable costs and how much is fixed? And what can we expect going forward, I mean, should we remain more or less stable in terms of passenger for next quarters? And also how much of those [Oaxaca] represent in terms of your total traffic in recent months? Thank you.
Adolfo Castro: Hi, good morning, Alan. The cost of services, most of our cost is fixed. The only here buyable things that we have are the concession fee and what we pay to the strategic partner the technical assistance fee. I would say the rest is basically fixed, of course, attached to the infrastructure, so if the infrastructure grows the cost will grow accordingly. In terms of [Oaxaca], I don’t have exact figure in my hands, but I will estimate this between the 3% and 4% during the recent quarters.
Alan Solis - Credit Suisse: Okay. Thank you, Adolfo.
Operator: And your next question comes from the line of Nick Sebrell from Morgan Stanley. Please proceed.
Nick Sebrell - Morgan Stanley: Hi, Adolfo. First question, could you talk about Cancún Hotel capacity? How is that been changing? Is there any construction going on? Can we expect those numbers to change? That’s the first question. And then second, if you could discuss a little bit about tariff changes. The tariffs at least in peso terms were higher than we had expected in the quarter. And those are set in pesos. But I guess the explanation is that they were not because you charged them in dollars. Is there any possibility of a refund or going back and changing the accounting of that in terms of what you were charging airlines etcetera?
Adolfo Castro: Thank you, Nick. Well, in the case of Cancún Hotel capacity, day-to-day we have more or less a 27,000 hotel rooms. There I see some construction under going. I don’t have the number of hotels that are under construction. What I can say to you also is that in the case of the Riviera Maya region we have around 38,000, so in total more or less 55,000. If we go back some time, remember that at the time of Hurricane, so that’s October 2005. We have that around 52,000 hotel rooms. Going back at the end of the year 2000, we had 50,000 hotel rooms. So, more or less, with these you can see what's the growth in the region. In terms of the value changes, what we should have seen during the last quarter was a peso devaluation against the US dollar and because of these our specific rates for international flights that are basically in dollars, represented a more pesos for us and that's why you saw an increase in the aeronautical revenue. Of course, these cannot reflect the full effect of the peso devolution with the US dollar because the maximum break is in peso. So, the maximum amount that we can charge has a limit in pesos even with the peso devaluation. So that's basically what we saw during the fourth quarter last year. And this year we are waiting for the government to approve us our maximum rates and our mass development program. As I have said during the first part of this conference, what we expect this to be approved within 90 days as from the December last year. So I hope that by the end of this quarter we will be able to tell you what our new maximum rates are going to be. In the mean time, we have basically the same that we had at the end of last year.
Nick Sebrell - Morgan Stanley: Okay. So just to understand the rates, that were being charged in the fourth quarter the tariffs. The apparent rate rose partly because of mix shift spend, I mean as we are saying, if it wasn't so much that the, the ordinary sum is your devaluation but there must have been a mix shift or something to create a higher effect of tariffs now?
Adolfo Castro: Well that depends on an airport-by-airport basis, because the situation is how much they are, what's the level they have in accordance with the maximum tariff compliance. So, if any airport was at 100% of their maximum rate. And then we have the business devaluation, they will not receive more pesos because they cannot exceed the maximum rate.
Nick Sebrell - Morgan Stanley: Okay. And do you charge different rates to foreign carriers or international flights versus domestic flights?
Adolfo Castro: Yes, absolutely, remember that in the case of international flights we have to give them some areas for customer migration and that's why we charge differently.
Nick Sebrell - Morgan Stanley: Adolfo, Thank you.
Adolfo Castro: Thank you.
Operator: And our next question comes from the line of Thomas Löffler from UBS. Please proceed.
Thomas Löffler - UBS: Good morning gentlemen, thank you very much for the call. I have a quick question, in terms of tariff renegotiation and the study that you have carried out. How much of an impact is that on your expenses, you have a consultants, the studies, lawyers etcetera, and how has that affected your SG&A or your expenses in the fourth quarter?
Adolfo Castro: Thomas, hi, good morning. In the fourth quarter I don’t see too much expenses from that specific line, because basically the works have finished in terms of consultancy, we are almost finished in terms of consultancy. The most important part of that was basically at the beginning of last year and probably the end of 2006, that's what I can say to you.
Thomas Löffler - UBS: Okay. Thank you. Adolfo, hanging on to that idea. I guess the questions comes from the fact that you have had excellent revenues very-very strong sales in the fourth quarter, but we didn't see that much operating leverage in terms of your margin vis-à-vis your previous year. So, can you talk a little bit about why we sort of miss this operating leverage?
Adolfo Castro: Well, let me tell you about the price, the energy cost. Just to give you an idea, the invoice that we paid for October was in terms of the price per kilowatt hour, 42% more compared with the last year. So, the energy was for the full quarter, they were 42% above in terms of price. Even that we have worked a lot in terms of consumption of course, we still have very strong impact there. And as I said during the first part of the conference, we saw (inaudible) at the beginning of this year making a reduction in the energy price by 17%. I hope that this will help us on that specific line.
Thomas Löffler - UBS: Alright. Thank you, Adolfo.
Adolfo Castro: You're welcome.
Operator: (Operator Instructions). And our next question comes from the line of [Modi Sisanko] from [GEM]. Please proceed.
Modi Sisanko - GEM: And the second question was regarding to maximum tariff in Cancún, do you have the actual values that we have to adjust them for inflation compared to the once we having the maximum [evaluate done]? Thank you.
Adolfo Castro: Hi, good morning, [Modi]. In terms of free cash flow, what we are seeing in terms of cash, in terms of cash taxes, basically IETU tax, we are paying IETU tax in all of the airports and we will be paying corporate tax in the case of the holding company. In terms of the maximum rate in Cancún as I said before we have the same rate that we have at the end of last year. Those are not going to be adjusted by inflation.
Modi Sisanko - GEM: Okay. And what about, one of the things is that, I believe that, I am not able to see the tax adjustment in your free cash flow generation during the quarter?
Adolfo Castro: Well, during the quarter we had some impact from the deferred taxes that we generated. If you see the P&L of the company, there is a breakdown in four lines of the charges.
Modi Sisanko - GEM: Okay.
Adolfo Castro: And you have what we pay and then you have the corporate rate for the holding company. Also you have of some asset back there. And of course, deferred taxes.
Modi Sisanko - GEM: Okay. I will check them out, thank you.
Adolfo Castro: Thank you.
Operator: (Operator Instructions) And the next question comes from the line of Luis Miranda from Santander. Please proceed.
Luis Miranda - Santander: Yes. Good morning everyone. Adolfo, good morning. A couple of questions, the first one is related to Cancún. And you mentioned, that results had been benefited by the exchange rate promotions and oil. And I was wondering if you have any sense or any feedback from the operations in the airport at the beginning of the year. If the promotional activity in the hotels is increasing or is changing in any sense, and also, I understand that there is always more portion of your flights that can be like scheduled. But if you are seeing any change there, either up or down? And my next question is regarding the master development plan and the 90 day delay. I just want to understand if these 90 days, at the end of the first quarter, that's the date or there is any situation that's still negotiated we could see a further delay on the approval.
Adolfo Castro: Thank you, Luis. On your first question on Cancún, if we are seeing promotions. Well, normally we do not see that at the airports and in general terms I would say that most of the season they have to be sold in the case of international traffic. So, booking in advance and some things like that. What I can see in the case of Cancún for the first part of the year is what we have presented during our press release related to January figures. And again we saw a very positive number, a very strong positive number in the case of international traffic. But also it's important to say that we still have a very strong decrease in Cancún for the domestic market. That may have an impact in the future and it is not just going to be the other airports that are decreasing in the domestic sector but also Cancún is not decreasing in domestic market. So we have to be aware of this for the rest of the year and moreover when the summer comes. In the case of the 90 days, I do not know what to say to you because we chose to receive this letter from the government saying that they will take another 90 days in accordance with the law. It is clear that they can extend this period again; my expectation is that they will not and that they will say something before this quarter is over. The due date for that should be around March 30th this year.
Luis Miranda - Santander: Thank you.
Operator: And our next question comes from the line of [Karla Peace from Interact]. Please proceed.
Karla Peace - Interact: Hi, Adolfo, I was just wondering about international traffic. Well most of it still comes from the United States I guess, but as you are seeing more traffic from Europe, that’s my question.
Adolfo Castro: Thank you, good morning, what we are seeing basically, as I said before a very strong growth from the United States a huge growth from Canada and I would say a very strong growth from Europe also. Of course in terms of absolute figures, the most important is US. But the others are growing, very nice too.
Karla Peace - Interact: Okay thank you.
Operator: (Operator Instructions) And our next question comes from the line of Vivian Solomon from HSBC. Please proceed.
Vivian Solomon - HSBC:  Hi, Adolfo. Just a quick question, I was wondering if you could give us an update on what is been happening regarding to Riviera Maya Airport? Thank you.
Adolfo Castro: Hi, good morning, Vivian. In the case of Riviera Maya, what's there I know what they have been hearing during is that the Ministry of Communication and Transport once to make a bidding processes for these project during the first half of the year. That's why I can't say it to you and that's basically coming from what he says here and there or what he says also in some cases to the media in Mexico. That's what we do not have any other detail there.
Vivian Solomon - HSBC: Okay. Perfect. Thank you.
Operator: Thank you. (Operator Instructions) I would like now to turn the call over to Mr. Adolfo Castro for any closing remarks.
Adolfo Castro: Okay. Thank you, Marico. Thank you all of you as you have seen this was a good quarter despite the global slow down. Even uncertainties today it's quite difficult to predict the future. However, we believe we have a very strong operation and a solid business model. Thank you for your attention and for being here with us on this conference call. Have a good day.
Operator: Thank you for your participation in today’s conference. This concludes today's presentation. You may now disconnect. And have a great day.